Operator: Hello, and welcome to the Fuel Tech, Inc. Fiscal 2022 Fourth Quarter Financial Results Conference Call and Webcast. [Operator Instructions]. A question-and-answer session will follow the formal presentation. As a reminder, this conference is being recorded. It is now my pleasure to turn the call over to your host, Devin Sullivan, Managing Director of The Equity Group. Please go ahead, Devin.
Devin Sullivan: Thank you, Kevin. Good morning everyone and thank you for joining us today for Fuel Tech's 2022 fourth quarter and full year financial results conference call. Yesterday after the close, we issued a copy of the press release, which is available at the company's Web site at www.ftek.com. Our speakers for today will be Vince Arnone, Chairman, President and Chief Executive Officer; and Ellen Albrecht, Chief Financial Officer. After prepared remarks, we will open the call for questions from our analysts and investors. Before turning things over to Vince, I'd like to remind everyone that matters discussed on this call, except for historical information, are forward-looking statements as defined in Section 21-E of the Securities Act of 1934, as amended, which are made pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995 and reflect Fuel Tech's current expectations regarding future growth results of operations, cash flows, performance, and business prospects, and opportunities, as well as assumptions made by and information currently available to our company's management. Fuel Tech has tried to identify forward-looking statements by using words such as anticipate, believe, plan, expect, estimate, intend, will, and similar expressions, but these words are not the exclusive means of identifying forward-looking statements. These statements are based on information currently available to Fuel Tech and are subject to various risks, uncertainties, and other factors including, but not limited to, those discussed in Fuel Tech's annual report on Form 10-K in Item 1A under the caption risk factors and subsequent filings under the Securities Exchange Act of 1934, as amended, which could cause Fuel Tech's actual growth, results of operations, financial condition, cash flows, performance, and business prospects, and opportunities to differ materially from those expressed in or implied by these statements. Fuel Tech undertakes no obligation to update such factors or to publicly announce the results of any forward-looking statements contained herein to reflect future events, developments, or changed circumstances or for any other reason. Investors are cautioned that all forward-looking statements involve risks and uncertainties including those detailed in the company's filings with the SEC. With all that said, I'd now like to turn the call over to Vince Arnone, Chairman, President and CEO of Fuel Tech. Vince, please go ahead.
Vince Arnone: Thank you, Devin. Good morning and I want to thank everyone for joining us on the call today. We reported a strong finish to what was a successful year for Fuel Tech in 2022. Full year 2022 revenue was 26.9 million, our highest consolidated revenue since 2019, increased 11% from full year 2021 and was driven by an operational rebound in our Air Pollution Control business segment, where revenues improved by 54% from full year 2021.  For the fourth quarter of 2022, total revenues rose 8.8% to 7 million due to improved performance at our FUEL CHEM segment. Our backlog at year end was 8.2 million and did not reflect 3.6 million of new 2023 orders announced just last week.  Our effective backlog today is approximately $12 million. We continue to pursue a global sales pipeline of $50 million to $75 million consisting of a variety of projects and end markets, and we are pleased with the improvement in contract awards that we have realized over these past 6 to 12 months.  Our balance sheet at December 31 remained strong and reflected cash and cash equivalents of more than $23.3 million, $9.3 million in investment securities and no debt. Last week, we made significant progress in our Dissolved Gas Infusion or DGI technology business with the announcement of Bill Decker as our new Vice President of Water and Wastewater Treatment Technologies. Bill brings a wealth of knowledge and industry experience to Fuel Tech and we are pleased to have him on board in this capacity.  With respect to our operations, let's begin with a discussion of our FUEL CHEM business. Our FUEL CHEM business segment had a strong fourth quarter, with revenue arising 21% to 4.1 million compared to 3.4 million in the fourth quarter of 2021.  Full year 2022 revenue for FUEL CHEM was 16.3 million, exceeding our previous guidance of 14.5 million to 15.5 million for the year. And we were very pleased with our full year performance. And overall increase in energy demand positively impacted coal-fired dispatch in regional areas where we have our program installed.  We continue to develop new marketing strategies to reach key decision makers at all domestic coal-fired utilities to reintroduce our FUEL CHEM program benefits, including lowering the cost of dispatch by offering fuel flexibility, extending facility life and improving overall facility profitability, and structuring a program that is active only when the unit owner wants to capitalize on high energy demand and related high unit capacity factor opportunities.  We continue to follow the opportunity to expand the provision of our Chemical Technology in Mexico via our partner in that country to address the emissions created by the burning of high sulfur fuel oil, which is being undertaken without the necessary environmental remediation and at the expense of the health of surrounding communities. We do believe that political pressure is building in favor of the implementation of our FUEL CHEM program in additional facilities in this country.  Our partner is currently in discussions with the state owned utility, CFE, regarding the application of our technology at several units. As we look out to 2023, we currently expect that FUEL CHEM revenues will decline modestly from 2022 levels due primarily to a reduction in program utilization levels at our primary accounts from the very high levels experienced in 2022 and to the elimination of one account due to plant closure.  For the APC segment, revenue for the fourth quarter of 2022 fell modestly to $2.9 million compared to $3.1 million in the fourth quarter of last year, due to the timing of project execution. APC's full year revenue was $10.6 million, a significant improvement from full year 2021 revenue of $6.9 million driven by project execution on approximately 10 million in new project awards announced throughout 2022.  Based on the effective backlog that we have in place today and to the visibility that we have into potential new orders, we are confident that our APC revenues for 2023 will exceed 2022. This expectation excludes the possible favorable revenue impact of legislative initiatives that could manifest as early as the current first quarter. We believe incremental orders for our selective non-catalytic reduction or SNCR technology will be driven by the proposed EPA Cross State Air Pollution Control Rule, also known as CSAPR.  The EPA entered into a consent decree in 2022 to update the CSAPR rule with NOx reduction requirements so that sources in up to 25 specific states can comply with the 2015 national ozone standards, while meeting the Good Neighbor requirements of the Clean Air Act. These CSAPR revisions could impact utility and industrial sources, requiring additional NOx control starting as early as 2023 for utility units and 2026 for industrial units.  EPA issued the draft rule last year for public comment, and the revised final rule is currently at the White House Office of Management and Budget for interagency review and is due to be issued later this month. The final rule is also expected to open up opportunities over the next several years for selective catalytic reduction or SCR systems for higher reductions of NOx and for our ULTRA systems that provide safe reagent for SCR installations. Once this rule becomes finalized, we will be better prepared to understand the implications on the impacted units and on our potential contract pipeline.  We continue to pursue a robust global pipeline of business opportunities, stemming from an increasing focus on global decarbonisation as companies continue to invest in technology to improve their carbon footprints. We expect that further environmental legislation will spur growth and generate long-term business opportunities. Fuel Tech has longstanding relationships with technology suppliers and end users that will assist in our ability to capitalize on these opportunities as they develop, and we are pursuing business relationships where our technologies can become embedded as part of our customer solutions.  We are continuing to pursue opportunities for our SCR and ULTRA product offerings, and have been awarded multiple contracts in recent months for the provision of these technologies. Many of these contracts for our ULTRA technology solution, which provides a safe reagent alternative to ammonia for SCR systems, have been driven by stringent safety requirements at universities and medical facilities.  Additionally, other recent contract awards have involved the application of our SNCR emissions control solution to reduce nitrogen oxides from stationary combustion sources for domestic and international applications, and our Flue Gas Conditioning technology to improve the performance of electrostatic precipitators for an international client.  For DGI, I want to once again welcome Bill Decker to his new role, which begins on March 15. Bill brings to Fuel Tech more than 30 years of engineering, operational and financial experience serving industrial and municipal, water and wastewater clients across the United States and around the world.  In addition to his work in the private sector, Bill is well respected among his peers and government officials. He was selected five times by multiple U.S. Secretaries of Commerce to serve on the Environmental Technologies Trade Advisory Committee, including twice as Chairman. This organization makes recommendations to the Secretary of Commerce on issues that affect export competitiveness of U.S. environmental technologies.  In November 2022, Bill was elected Chairman of The Water and Wastewater Equipment Manufacturers Association, a Washington D.C.-based non-profit trade association representing water and wastewater technology and service providers since 1908. This group works closely with Congress and other regulatory agencies, monitors legislative actions, testifies before Congressional committees, and advocates for funding to meet environmental goals.  We believe that DGI represents a future driver of growth for Fuel Tech, and an excellent opportunity to diversify our revenue stream. We are currently evaluating demonstration opportunities in a variety of end markets, and I look forward to speaking with everyone further regarding DGI as we move throughout 2023. Given the respective outlooks for both APC and FUEL CHEM, we expect that total revenues for 2023 will improve to between $27 million and $32 million. This base case outlook excludes any material contribution from DGI, as we commence the early stages of commercialization of this technology under Bill's guidance and any possible material uplift from new federal emissions control regulations that are expected to be finalized shortly.  In closing, I want to again thank the Fuel Tech team for their continued hard work and dedication as we work diligently each day to satisfy our customers' requirements and plan for the development and expansion of our water technology initiative. We are pleased with our positive fourth quarter and annual financial performance and are very excited about our prospects in 2023. With that said, I'll turn the discussion over to Ellen. Ellen, please go ahead.
Ellen Albrecht: Thank you, Vince, and good morning, everyone. For the quarter, consolidated revenues rose to 7 million from 6.5 million in last year's fourth quarter. FUEL CHEM product line revenue rose to 4.1 million from 3.4 million due primarily to improved dispatch levels for the power generation facilities that utilize our program. APC segment revenue fell slightly to 2.9 million from 3.1 million in last year's fourth quarter due to the timing of completion on the execution of projects reflected in our current backlog. Consolidated gross margin for the 2022 fourth quarter fell to 42.8% of revenues from 50.2% of revenues in the fourth quarter of 2021. This decline can be attributed to the contribution from the APC segment gross margin, which declined to 35.4% of revenue from 55.6% of revenue in last year's fourth quarter due to a shift in product and technology mix. The decline was somewhat offset by an improvement in FUEL CHEM as gross margins increased to 48.1% from 45.3% in last year's fourth quarter.  Consolidated APC segment backlog at December 31, 2022 was 8.2 million, down from 9.1 million at the end of 2021. Backlog at December 31 included 3.7 million of domestically delivered project backlog and 4.5 million of foreign delivered project backlog as compared to 3.4 million of domestic project backlog and 5.7 million of international project backlog at the end of 2021. We expect that 7.9 million of consolidated backlog will be recognized in the next 12 months, excluding contribution from any new contract awards.  SG&A expenses declined to 3.1 million from 3.2 million in last year's fourth quarter. As a percentage of revenue, SG&A in the 2022 fourth quarter declined to 43.8% from 49.6% in the 2021 fourth quarter. Research and development expenses for the fourth quarter fell slightly to approximately 200,000 primarily attributed to the timing of execution on current project initiatives.  Our operating loss was essentially unchanged at $250,000 compared to 2021 in last year's fourth quarter, reflecting a shift in margin contribution from product mix despite increased revenues and lower operating expenses. Our net loss for the quarter was 402,000 or $0.01 per share compared to a net loss of 244,000 or $0.01 per share in the same period a year ago. Adjusted EBITDA loss was 263,000 compared to an adjusted EBITDA loss of 46,000 in the same period last year.  For the full year 2022, consolidated revenue rose to 26.9 million from 24.3 million in 2021, reflecting a 54% increase in APC revenues, offset by a 6% decline in FUEL CHEM. As previously mentioned, the increase in APC segment revenue is attributed to the timing of project execution on current APC orders. FUEL CHEM segment revenues declined year-over-year due to the loss of one customer due to a permanent plant retirement, dispatch in demand and unforeseen plant outages.  Consolidated gross margin declined to 43.2% from 49% last year due to the shift in segment contribution. SG&A expenses for the full year 2022 increased by 1.8% to 12.3 million from 12.1 million in 2021, which falls within the forecasted range we previously provided. For full year 2023, we expect SG&A expenses to range between 13 million and 14 million as we invest in resources to support current business initiatives in the development of our DGI technology operations.  Operating loss was 1.5 million in both 2022 and 2021. Net loss for 2022 was 1.4 million or $0.05 per diluted share compared to net income of 54,000 or $0.01 per diluted share in 2021. Net income for 2021 included other income of 1.6 million reflecting full forgiveness of the loan proceeds from the Paycheck Protection Program established pursuant to the CARES Act. Adjusted EBITDA loss was 909,000 in 2022 compared to an adjusted EBITDA loss of 662,000 in 2021.  Moving to the balance sheet, I'm happy to report that our financial condition remains strong. As of December 31, we had cash and cash equivalents of 23.3 million and investments totaling 9.3 million. Working capital was 31.1 million or $1.03 per share. Stockholders' equity was 44.8 million or $1.48 per share and the company had no debt. Cash used by operating activities at December 31 was 4.1 million driven primarily by the increase in accounts receivable from new business compared to cash provided by operating activities of 572,000 last year.  As we began 2023, we invested another $10 million of available cash and investment securities in order to take advantage of the favorable interest rate market and we'll continue to focus on effectively maximizing and managing our business assets and operations. To reiterate Vince's earlier comments, we are pleased with our results and remain optimistic about our opportunities in 2023 and beyond.  I will now turn the call back over to Vince.
Vince Arnone: Ellen, thanks very much. Operator, I would like to now open the call for questions please.
Operator: Certainly. We will now be conducting a question-and-answer session. [Operator Instructions]. Our first question is coming from Amit Dayal from H.C. Wainwright. Your line is now live.
Amit Dayal: Thank you. Good morning, Vince. Good morning, Ellen. Thank you for taking my questions.
Vince Arnone: Good morning, Amit. How are you?
Amit Dayal: Good. Thank you, Vince. With respect to some of the outlook wins, can you talk about sort of margin expectations? The APC business looks like it's going to be higher again this year. And then you probably have some ramp related to the DGI commercialization efforts. So how should we think about gross margins for 2023?
Vince Arnone: Right. I think on the APC side, Amit, I think we're going to see a trend similar to what we had for 2022. I would expect somewhere in the 35% to 38% range on that new APC business that we bring in-house in '23, and as well as that represents the backlog that we are working off from projects that are already booked in in-hand. So I like 35% to 38% as a range for that, for APC gross margins. Chem Tech is going to stay similar in nature. It's going to be upper 40s, and then 49% range for Chem Tech as well. Right now with the revenue numbers that I just mentioned that we're projecting for next year, we're not factoring in a material amount of revenue as it relates to DGI as we sit here today. So anything material that we realized will be on top of that revenue range that I mentioned a few minutes ago.
Amit Dayal: Okay. Thank you.
Vince Arnone: You’re welcome.
Amit Dayal: You mentioned some new federal emissions regulations coming up. Could you provide some additional color on that? We can look that up as well, but if you could just maybe give us some sort of timeline around when that is expected to happen and what specifically those new updates are going to cover?
Vince Arnone: Right. It's effectively an update of what's referred to as the Good Neighbor Act provisions under the Clean Air Act amendments, okay. We mentioned the Cross State Air Pollution Control rule that it's related to those Good Neighbor provisions. But what that rule basically states is, is that it requires upwind states to maintain certain levels of emissions, if you will, so that they're not impacting their downwind states with their pollution problems and/or issues to keep it simple along those lines. But what the EPA is doing is actually putting in place a reduction in those emission levels that I had noted is going to impact approximately 25 states. And that rule, as I had noted, was originally issued last year for commentary. They’re due to become final here before the end of this month. So it's going to become final here shortly. We don't know exactly what that final regulation is going to look like yet. But as I mentioned in the past couple of earnings conference calls, the impacted states and related utilities, obviously they're looking at this very, very closely. We've had a great number of inquiries over this past 12-month timeframe regarding those utilities starting to plan for what might be coming their way from an emissions reductions perspective. So it's something we've been watching closely. Our potential customer base has as well. We've put together quite a few what I would call budgetary assessments and evaluations for the customer base. And what we're watching is specifically what comes out as the emissions requirements under this final rule. And so we're watching it closely. And so it's difficult for us to forecast what the impact of that will be in our business. But it could be something that provides us with a nice upside opportunity as we move throughout, not just '23 but as we move through '23, '24, '25, '26. A lot depends on the specific emissions reductions requirement; and then secondly, the timeframes for compliance. So that's what we're watching here. Does that help?
Amit Dayal: Yes. Thank you, Vince. And then just on the DGI side, are you beginning to build sales pipeline for this offering or is it a little early for that to come into play for you?
Vince Arnone: I would say it's early in terms of calling it a sales pipeline as we sit here today, Amit. We are evaluating several demonstration opportunities. As we've discussed previously, we have been working through what has been a little bit of a longer term search process to find Bill and bring him on board. Bill comes to the table with a lot of knowledge about the end markets that we believe DGI could be successful within, and a lot of relationships that could help us bring commercialization to DGI. So as I said in my commentary, I think we're going to have a good deal more to say about DGI as we move throughout 2023. And ultimately, yes, we will be talking about a sales pipeline, but not quite yet today.
Amit Dayal: Understood. That's all I have for now. Vince, I will follow up with you after this. Thank you.
Vince Arnone: Amit, thank you very much.
Operator: Thank you. Next question is coming from Pete Enderlin from MAZ Partners. Your line is now live.
Pete Enderlin: Good morning. Thank you.
Vince Arnone: Hi, Pete.
Pete Enderlin: You mentioned improved dispatch levels in the fourth quarter for FUEL CHEM. But can you be a little more specific about where those were? I don't know what the overall climate impact was, but I don't sense a real general need for increased dispatch. So where was it for you guys?
Vince Arnone: Yes. Obviously our accounts are in specific areas of the country. We have very large accounts in the Midwestern U.S. We have large accounts going out to the Northwest as well, in a couple of other regions. So it really depends ultimately -- it's not necessarily always weather driven, although that's a contributor. But it really depends on the power generation that is available in that specific regional marketplace to put power on the grid, and what entities are available to put that power on the grid. So there are typically multiple drivers that could impact our end customers and their need to put power on the grid. So that's what we watch. And it's not always obvious and it's not always easy to forecast as we look forward as well. But it could also be impacted by outage schedules, by other competing units in that regional market space as well. So there's different drivers for how that could be impacted.
Pete Enderlin: Could you just remind us what the total base of FUEL CHEM customers is approximately at this point, how many?
Vince Arnone: I'd say we're working with a 5 to 10 group of solid customers within FUEL CHEM today.
Pete Enderlin: Okay. Thanks. And the gross margin in APC was 35% in the fourth quarter versus 55%. And you said it will be probably maybe a little better than that in the current year. But could you just give us some sense of how deflation and these references to supply chain issues plays across that business going forward?
Vince Arnone: Certainly, first to comment on the gross margins that you mentioned. In 2021, our revenue level for APC was dramatically reduced. And within the APC segment itself, in addition to execution on what I would call project work, we also do ancillary services, spare parts and the like. Typically, the ancillary services are a higher gross margin level than our typical project execution work as a general statement. So as we compare the two years, we actually had more project execution work in 2022 than we did in 2021, as a general statement, which let's call it lowered the weighted average gross margin for APC in '22. And that's the same level that we would expect to see in '23 as we sit here today. Secondarily, the gross margin does vary across the different technologies that we provide under APC as well.
Pete Enderlin: Can you elaborate on that a little bit? I mean which ones are the most profitable?
Vince Arnone: I can't get into too much detail there, because that ends up becoming competitive information, Pete. All I can say is that the technologies, depending on demand in the marketplace, they do have different gross margin realization capabilities. So just emphasizing that there is product mix involved in APC, okay. So answering the second part of your question, fortunately, what we've received as price increases from our supply chain, we have largely been able to pass through in terms of prices to our end customers for our APC product line, okay. Supply chain, there are still difficulties. As we hear in the news every single day from every single business, there are still issues with supply chain, particularly with electronic componentry, that being specific but it's not only with that area. But supply chain continues to be an issue. While we are looking -- we have developed and are looking to continue to develop ways whereby we look to actually inventory some of what I would say more recurring, longer lead time parts and pieces that are part of our APC solutions so we have those pieces on hand to the extent we can to reduce some of that lead time exposure that we would have on new projects. So that's an initiative we started in 2022. It's an initiative that we will continue in '23. We have the balance sheet to support building a little bit of inventory for those items. And from our perspective, it is a good investment to make.
Pete Enderlin: And when you talk about supply chain issues and inflation, can you give us a sense of how much of your costs really relates directly to what you might call raw materials in metals basically reflecting commodity prices, or is it much more advanced down the supply chain than that? In other words, do you pick up stuff pretty much at the beginning of the supply chain or is most of it later on in the channel?
Vince Arnone: It is later on in the channel. We are specifically not dealing directly with a lot of the commodities, if you will. Some of our suppliers, depending on what technology solution we are selling, will have to deal with that a little bit more directly. But as I noted, anything that has come our way from a price increase perspective, we've been fortunate to be able to push forward into selling prices for our technologies.
Pete Enderlin: Okay. And then if I can go back to the FUEL CHEM gross margins, which are obviously and always have been excellent, is there any possibility that you could push those up further through some kind of cost reductions or engineering improvements or whatever?
Vince Arnone: Yes. I'd say at this point in time, it's difficult to foresee improving on those margins, Pete. We're sensitive to the overall, call it cost structure of the coal-fired unit that is trying to dispatch power into a very competitive grid. So there's not much we can do on the customer side. And internally relative to just call it our internal cost structure, which is at the end of the day it's predominantly our specialty chemical, we don't have a lot we can do on that side of the equation. In our engineering labor component for Chem Tech, I would say it's not material to our total cost structure. So I don't think there is a great deal that we can do to expand those margins further as we sit here today.
Pete Enderlin: Okay, fair enough. And then on DGI, you say in the press release you're hopeful of getting your first contract this year. Can you give us some sense of where that's likely to be? What area it's likely to be and what kind of application, however specific you can be?
Vince Arnone: Yes. I think at this point in time, Pete, I would defer in any specifics on that item, because I think that the first opportunity could be in a variety of different areas. So I'd be remiss if I focused on something specific at this point in time. All I can say is that on the DGI front, I expect the pace to pick up dramatically once we have the longboard [ph] starting next week, and I think that we are going to have a variety of demonstration opportunities and then ultimately commercial sales opportunities come our way as we move down the pike a little bit.
Pete Enderlin: Okay. And then you talked about these EPA rules, Clean Air and CSAPR and all that. Which kind of emissions are going to be most severely limited or affected among your different capabilities? In other words, which technologies would benefit the most? And are we talking primarily about coal-fired opportunities or oil and gas or both?
Vince Arnone: Okay. Regarding the first part of your question, we are specifically watching nitrogen oxide.
Pete Enderlin: Okay.
Vince Arnone: And that is the focus of our SNCR and SCR technology capabilities. Depending on the level of mandated emissions reduction requirement, different levels or different call it product mix will evolve, whether it's SNCR or SCR requirements, and it will be unit specific as well in terms of what is going to be needed to meet the targeted requirements, okay. So that's what we're specifically focusing on there or watching nitrogen oxides emissions, and the target of emissions reductions for that.
Pete Enderlin: And how about the question, I guess it's primarily going to be for coal-fired plants or oil and gas --?
Vince Arnone: Primarily, yes. Not a point in time, no, but primarily, yes.
Pete Enderlin: All right. Thank you. And then one more and that is for Ellen I guess. What do you expect the interest rate that you're going to get on your cash will be this year? What are you budgeting, forecasting?
Ellen Albrecht: Between 4 and 5.
Pete Enderlin: Okay. All right, great. Thank you very much.
Vince Arnone: Thank you, Pete.
Operator: Thank you. Next question today is coming from George Gasper [ph], a private investor. Your line is now live.
Unidentified Analyst: Thank you. Can you hear me?
Vince Arnone: Yes, we can, George. How are you?
Unidentified Analyst: Okay. Good morning. A couple of insights looking for and the components have been set, you mentioned electronic components going into your different systems. Has anyone brought up the possibility of making sure that the components and these electronic components are not coming from China? The only reason I'm bringing this up is that it looks like there's some concern about China being able to gather data in certain components that they're putting into the United States mechanically, and I don't know if how important that is for you. But do you have any thought on this?
Vince Arnone: Yes. Most of the components that we buy are through entities that are U.S.-based entities, but their sourcing of where they get their products, in many cases, there may be some pieces and parts that are indeed coming from China, George, because that's where the great majority of supply of a lot of these components come from. I'm sensitive to your commentary. But as we sit here today, I don't sit here as being concerned about data gathering aspects that could occur or possibly occur from the components that we're using in our systems.
Unidentified Analyst: Okay. All right. My second question to you is on the DGI area. I know that you've had some comments relative to answering questions already. But it would seem from my view, because I followed this water treatment area closely, and it would seem like you might have a very, very significant chance in California. I think they had some really dire situations out there in water treatment. And I know the opportunity that Bill Decker brings to it I think would be important, but it would -- the demand is absolutely huge in terms of the California area, and that would require you obviously putting some equipment out there on a test basis if you can consolidate that and do it. Do you have any thoughts on this?
Vince Arnone: Obviously, California is a market that definitely has specific water and wastewater treatment needs. So it's -- as opportunities arise, George, I'm not sure that we're -- as we sit here today, we're not looking geographically for targets. We're looking more for those end markets and success in very targeted end markets that can provide us, call it, the first initial success stories that then we'll use as expansion from there. So we'll talk about end markets first, the geographies in terms of where those end market opportunities will come. That will come call it as an after effect, if you will. But there's no doubt that California has its water and wastewater treatment issues. But we're seeing that water is becoming more of a focus around the globe, and hence our interest in getting DGI out there as quickly as we can. But we need our first success stories, if you will, and then we'll move from there.
Unidentified Analyst: Okay, all right. Thank you. And just a final comment, it looks like your company now is in a very positive position to start moving forward and bringing a lot of additional revenue stream into it. And hopefully, you can make some very positive progress in 2023 and going into '24. Hopefully, that's the case. Take care.
Vince Arnone: Thank you very much, George.
Operator: Thank you. We have reached the end of our question-and-answer session. I'd like to turn the floor back over for any further or closing comments.
Vince Arnone: Thank you, Kevin. In closing, I'd like to thank everyone that joined the call today. I'd like to thank all of our shareholders for their continued support. And lastly, another reach-out and thank you to the entirety of the Fuel Tech team. 2022 was indeed a good year for our company. We are in the best financial position that we've been in since 2018 timeframe. And I think directionally, we are moving -- as George just noted, we're moving in a very positive direction today. So thanks to everyone for their support, and have a good rest of the day.
Operator: Thank you. That does conclude today's teleconference and webcast. You may disconnect your line at this time, and have a wonderful day. We thank you for your participation today.